Operator: Good day and welcome to the KVH Industries, Inc. Q2 2020 Earnings Conference Call. Today’s call is being recorded. At this time, I would like to turn the conference over to Donald Reilly, Chief Financial Officer. Please go ahead.
Donald Reilly: Thank you, operator. Good morning, everyone. Thanks for joining us today to discuss KVH Industries’ second quarter results, which are included in the earnings release we published this morning. With me on this call is Martin Kits van Heyningen, the company’s Chief Executive Officer; and Brent Bruun, our Chief Operating Officer. The earnings release is available on our website and through our Investor Relations department. If you would like to listen to a recording of today’s call, you can access a webcast replay on our website. If you are listening via the web, feel free to submit questions to ir@kvh.com. This conference call will contain certain forward-looking statements that are subject to many assumptions and uncertainties that may cause our actual results to differ materially from those expressed in these statements. We undertake no obligation to update or revise any forward-looking statements. We will also discuss certain non-GAAP financial measures. You will find definitions of these measures in our press release as well as reconciliations of these non-GAAP measures to comparable GAAP measures. We encourage you to review the cautionary statements made in our SEC filings, specifically those under the heading Risk Factors in our first quarter Form 10-Q filed on May 1, and our 2019 Form 10-K, which was filed on February 28 and our Form 10-Q for the second quarter, which we expect to be filed later today. The company’s other SEC filings are available directly from the Investor Information section of our website. And at this time, I would like to turn the call over to Martin. Martin?
Martin Kits van Heyningen: Thanks, Don. Good morning, everyone and thank you for joining us today. So as was the case for most companies, we entered the second quarter with incredible uncertainty relating from the COVID-19 global pandemic. I’m happy to say, however, that while we anticipated and prepared for a range of scenarios, both of our business segments held up well in the face of these global health and economic challenges. Our quarterly revenue was $37 million, down only 7% compared to Q2 of last year. Our VSAT shipments remained strong. Our airtime revenue continued to grow. Our FOG and TACNAV sales were healthy, and our gross margins expanded. We are very pleased with the results for the quarter in the face of the challenges we all experienced. We also worked very hard to manage our operating expenses while sustaining our business. Both of our factories ran at full capacity throughout the second quarter. We implemented and continue to maintain an array of health and safety initiatives, resulting in no missed shipments, no health issues and no outbreaks amongst our employees around the globe. We managed our supply chain aggressively. And as a result, we have products on the shelf that we continue to be able to deliver. We acted early and decisively. We reduced operational spending in almost every area. In addition, we temporarily reduced pay across the board with the exception of those making under $50,000. The largest reductions were for our executive team. These steps enabled us to avoid layoffs during Q2 and no layoffs are planned for the future. As a result of these efforts, we improved our EBITDA for continuing operations by $900,000 versus a year ago, getting us to breakeven for the quarter. We cut our loss in half sequentially from Q1 of this year. Together, these efforts enabled us to maintain a strong cash position of $44 million. We’re also able to significantly increase our total backlog, which is now over $30 million across all of our markets. These results validate our strategy of diversification our combination of defense and commercial as well as product and services enables us to weather what was hopefully the worst part of this crisis. By continuing to deliver hardware and install products, despite port closures and travel restrictions, we believe we gained market share on our competitors. While there’s still much uncertainty ahead, we’re well positioned for the future. Now I’d like to share some of the details, beginning with our Mobile Connectivity segment. We entered the quarter facing significant questions about the state of the maritime industry. The mass merchants, boat yards, marinas and boat manufacturers were all closing down. Commercial port visits for shipping declined from an average of 28,000 per day to barely 16,000 per day. Nevertheless, we continued to ship products. Our key distributor remained open, and sales continued both directly and through our airtime product service providers. Port visits have steadily increased averaging roughly 22,000 a day for the past few weeks. International OEMs and boat yards opened in mid-May and U.S. marinas and OEMs followed suit later that month. As a result, Q2 really came in three flavors with a major shutdown in April, continued softness in May and then a resurgence in June. Our overall Mobile Connectivity sales were $29.2 million, down just over $2 million from Q2 of last year. Key contributors to this decline were slow retail sales of our marine satellite TV systems and a decline in content subscriptions following the shutdown of the cruise lines and luxury hotels. Even so, we built and shipped more VSAT units than we anticipated during the quarter. In fact, it was only a modest decline from a year earlier record high. Airtime revenue was up 6% versus Q2 of last year, as we increased our subscribers also by 6%. Airtime margins were almost 37%. That’s up 2 points versus Q2 of 2019, which represents positive progress in our strategy of adding subscribers through our HTS network. While we did see an increase in suspensions and churn at the start of the quarter, reactivations are now outpacing suspensions as vessels return to active service. More importantly, we did not see a spike in AgilePlans terminations during the quarter and ARPU for our HTS VSAT products, and services actually increased slightly, driven by promotions that encourage airtime plant upgrades to higher data plans. We achieved two milestones in our airtime group this quarter. Our quarterly VSAT airtime revenues surpassed $20 million for the first time and more than 50% of our VSAT subscribers are now on our HTS network. As a result of the pandemic, demand for data increased, driven by operational needs as well as crew welfare and as crew changes were halted. We launched several new offers in April, including a discount on airtime plan upgrades and crew calling. More than 430 vessels took advantage of the airtime plan upgrades contributing directly to our increased HTS network ARPU. We’ve extended these offers through the end of the year in response to ongoing demand and hope to convert many of these to permanent airtime increases. Our AgilePlans connectivity as a service product continued to perform well during Q2. Subscription revenues were up 13% sequentially from Q1, and up 72% from Q2 a year earlier. Despite a slow start in April with all the port and travel restrictions, we achieved record installations for single month in June. AgilePlans and new product sales contributed to the addition of a number of new customers with fleets in Turkey, Norway and Greece, along with a strong quarter in the Asia Pacific region. Our performance, financial stability and the strength of our services and sales channel enabled us to sustain our business while competitors in the market have faltered and some gone into bankruptcy. We’re aggressively pursuing opportunities that this creates including winning in competitors’ fleet with more than 30 vessels in Asia and successfully transitioning another fleet from a competitor to the KVH airtime while we’re using another of antenna that was already on board. In the leisure market, product sales were slow for much of Q2 as marinas, retail stores and boat builders were closed. However, we saw stronger sales in June as leisure channels began to reopen and consumers headed back to their boats. Apparently, a day on the water is an appealing way to social distance, especially when you have TV and Internet connectivity. Barring further shutdowns, we expect the leisure market recovery to continue throughout Q3 and Q4. As I mentioned earlier, quarterly NEWSlink sales declined 50% or roughly $1.5 million due to the shutdowns of the cruise lines and resort hotels. This segment of our business was hit very hard and represents about half of the year-over-year total company revenue decline. Among commercial vessels, however, we continue to see demand for content and strong engagement by the crew. Many of these sea fares have been unable to rotate off their ships for upwards of 6 months. Our unique KVH Link, content solution, powered by IP-MobileCast, keeps them entertained and in touch with home while offering a strong differentiator in the industry. This is especially true now as competing services, such as Inmarsat Fleet Media were shut down. We’re also making progress with our KVH Watch IoT connectivity as a service solution. The vessel quarantines and harbor lockdowns over the last few months clearly illustrate the value of remote data access, remote monitoring and the ability to troubleshoot without physical access to the vessel, all of which are supported by our Watch IoT service. We have a number of beta installations underway, along with a large pipeline of prospects, following the introduction of our new remote export intervention capability a few weeks ago. This is a long-term strategic initiative for KVH. We worked hard to keep development momentum on track during our cost reduction efforts. Moving on to our Inertial Navigation market, product revenue for the quarter was up 9% to $7.2 million versus $6.6 million in Q2 of last year. The increase was powered largely by growth in our TACNAV business while other Inertial system sales declined slightly from Q2 of last year. Overall, our defense business outlook is strong. 2 weeks ago, we announced a new international order worth more than $10 million for our TACNAV FOG navigation system. All hardware deliveries for this order are scheduled to take place in Q4 of this year in 2020. This is 1 of the 3 large defense orders that we discussed in prior earnings calls. These other potential international deals are still out there and some domestic ones, although the timing has been slowed due to the pandemic and low oil prices, which impacts customers in the Middle East. Delivering a solution for the U.S. military’s Assured Position, Navigation and Timing or A-PNT program is one of our major strategic goals for 2020. We’ll be supporting the next round of U.S. Army A-PNT trials, which is scheduled to take place now in Q4. Within the Inertial systems market, international sales slowed dramatically early in the quarter, but then started to recover as countries emerged from lockdown. Of the $30 million in backlog for our Inertial business, $25 million is scheduled for delivery in 2020. Our most exciting Inertial news for the quarter was, of course, the shipment of our P-1775 IMU. It has a new PIC inside. This is the first production unit, IMU, to be equipped with our new photonic chip technology that represents a huge milestone for the company. 3 years ago, we set out a revolutionized fiber optic gyro technology and manufacturing. After introducing the photonic chip or PIC last year, we set a goal to ship the first Inertial system using the technology by the end of Q1 and we did. The next step was to move it into commercial production by the end of Q2, which we also did. The P-1775 represents the first of these new production systems with the PIC inside. It’s a very high-performance system for use in both precision and high G applications such as the rocket being designed by our first customer. Now we’re executing our plan to incorporate the photonic chip technology into all our Inertial products by the end of 2020. So in conclusion, I’m incredibly proud of the job our team did in delivering these results in the face of the most trying quarter in our company’s history. Keeping the factories running, staff working remotely, juggling supply chains and delivering and installing hardware and ports all over the world was amazing. However, the ongoing impact of the pandemic on the global economy remains uncertain. Therefore, we will continue to proceed cautiously, monitoring the overall health of our business closely and maintaining the cost disciplines that we implemented at the end of the first quarter. As things continue to stabilize, we’ll focus on executing our strategic initiatives. It will be the foundation for our revenue and earnings growth in 2021 and beyond. And now I’ll turn the call back over to Don for more detail on the financial results. Don?
Donald Reilly: Thank you, Martin. First, in order to put our second quarter results of context, I think we need to recall the global economic environment we were facing as the second quarter began, and we are still facing today. Given the impact that COVID-19 has had on nearly every aspect of our business, we believe we’ve made excellent progress on almost all fronts for the quarter. That said, I’d like to walk through some of our second quarter results in more detail. As Martin mentioned earlier, our second quarter revenue came in at $36.9 million. This compares to $39.7 million recorded in the second quarter of 2019. The revenue from our Mobile Connectivity segment decreased to $2.3 million, and our Inertial Navigation revenue decreased $0.5 million from the prior year second quarter. Product revenue for the second quarter was $13.9 million, a decrease of $1.2 million or 8% from $15.2 million for the second quarter of the prior year. By segment, product revenues in our Inertial Navigation segment increased to just over $600,000 or about 9% as our FOG and OEM revenues decreased slightly about $200,000 compared to the prior year, while TACNAV sales increased about $800,000. In our Mobile Connectivity segment, product sales decreased by about $1.9 million or 22%, driven primarily by a $1.5 million decrease in TracVision sales. Of course, this product is largely targeted to the leisure marine industry, which was and continues to be impacted by the pandemic. Service revenue for the second quarter was $23 million, a decrease of $1.6 million or 6% from $24.5 million in the second quarter of the prior year. By segment, service revenues and our Inertial Navigation segment decreased just over $1.1 million or about 70%, primarily due to lower contract engineering service revenue. In our Mobile Connectivity segment, service revenues decreased by about $400,000 or 2%, primarily due to a $1.1 million increase in mini-VSAT airtime revenue, offset by a $900,000 decrease in our media business and a $500,000 decrease in contract engineering service revenue. Our media business was and continues to be significantly impacted by the travel restrictions associated with COVID-19. Our mini-VSAT broadband near time revenue increased to over $20 million – $20.2 million, growing approximately 6% from the prior year’s second quarter, driven by the continued success of our AgilePlans program and by demand for our HTS network. VSAT shipments in connection with the Agile program approximated 60% of our total unit shipments and 72% of our total commercial shipments this quarter. AgilePlans now represents 32% of all mini-VSAT airtime subscribers. For the second quarter, our consolidated gross profit margin was 35.2% as compared with 29.5% in the second quarter of last year. From a segment perspective, our Mobile Connectivity gross margin was 34.8%, up around 6 percentage points, primarily due to the impact last year of $2.1 million inventory reserve we recorded relating to our TracPhone VIP products as we decided to no longer promote sales of these products, instead focusing our efforts on migrating customers to our HTS network and products. The growth of our HTS network also contributed favorably to our gross margin improvement. Our Inertial Navigation gross margin increased about 4 percentage points to 36.7%, primarily due to higher TACNAV sales. Operating expenses for the quarter were $16.4 million, down 10.6% from $18.4 million in the second quarter of last year, in part due to multiple steps we took to mitigate the impact of the pandemic. For the second quarter, these changes in revenue, margins and operating expenses resulted in a loss from operations of $3.4 million compared to the loss of $6.7 million last year. Our Mobile Connectivity segment generated an operating profit of $600,000 compared with an operating loss of $2.4 million last year, while our Inertial Navigation segment had an operating profit of $200,000 for the quarter compared with an operating loss of $200,000 last year. And our unallocated loss was about the same at $4.2 million this year compared to $4.1 million last year. For the second quarter, our net loss was $3.6 million compared with a net loss of $3.3 million last year. On a non-GAAP basis, which excludes amortization of intangibles, stock-based compensation, transaction related and other nonrecurring legal fees, nonrecurring inventory reserves, other nonrecurring costs, foreign exchange transaction gains and losses, the tax effect of forgoing and changes in our valuation of tax allowance, valuation allowance and other tax adjustments, we had a net loss of $1.6 million compared to the net loss of $1.7 million last year. EPS for the second quarter was a net loss of $0.20 per share compared to a net loss of $0.19 per share in the same period last year. And our non-GAAP EPS for the same quarter was a loss of $0.09 compared to a non-GAAP EPS loss of $0.10 last year. Our adjusted EBITDA for the quarter was breakeven compared with a loss of $900,000 recorded in the second quarter of 2019. For a complete reconciliation of our non-GAAP measures, please refer to our earnings release that was published earlier this morning. Total backlog at the end of the second quarter was $21.6 million, of which approximately $15.6 million is scheduled to be delivered during 2020. The backlog for our Inertial Navigation products and services at the end of June was approximately $20.2 million, of which approximately $14.2 million is scheduled to be delivered in 2020, which includes about $11.4 million for FOG products alone. This would not include the $10 million TACNAV water, which we received recently in July. Net cash generated by operations was $100,000 positive this year compared to $600,000 used in operations for the second quarter of 2019. Capital expenditures were $3.8 million for the quarter. So to conclude, I would like to say that given the uncertainty we faced at the start of the quarter, we are pleased with our second quarter results. Of course, while we believe our business withstood the economic turmoil resulted from the pandemic very well, it’s certainly too early to declare victory. The nature, magnitude and duration of the COVID-19 pandemic continues to evolve and may yet have a material adverse effect on our revenues and results of operations and our financial condition. The extent to which the pandemic will impact our business will depend on many factors beyond our control, including, for example, the ability of governments and medical organizations worldwide to control the spread of the virus and development of effective vaccine and treatment. So we will remain diligent and careful with a keen eye on costs and efficiencies to ensure we continue to be as well prepared as possible to deal with whatever comes next with respect to the global health crisis. So this concludes our prepared remarks. And now I will turn the call back over to the operator to open the line for the Q&A portion of this morning’s call. Operator?
Operator: Thank you. [Operator Instructions] We will take our first question from Ric Prentiss with Raymond James.
Ric Prentiss: Hi. Good morning, guys.
Martin Kits van Heyningen: Hi, Ric.
Donald Reilly: Hey, Ric.
Ric Prentiss: You certainly navigated the storm of COVID-19 very well in the quarter. I hope you, your employees and families continue to stay well.
Martin Kits van Heyningen: Thank you.
Ric Prentiss: I want to first touch on the recovery that you saw or the resurgence you saw in June. What has continued into July? Was June kind of pent-up demand or is it good levels in July seeing similar levels? What’s the kind of the trend from June to July?
Martin Kits van Heyningen: Yes. It varied a little bit by market. So on the leisure side, I think there was definitely pent-up demand in June. And normally, by July, in a normal year, things start to slow down significantly as people start using their boats as opposed to buying new things for their boats. But this year, it seems to have been delayed. So July continued to be strong compared to a normal July for the leisure markets. For the commercial markets, I think what we saw is that there were obviously deals in the pipeline and things that had been in progress, and those all continued to pay. So there wasn’t really the same level of resurgence as much as just sort of a continuation of things that were in process. So I don’t know if that answers your question, but it does vary by segment.
Ric Prentiss: Sure. Sure. Okay. And as you think about – I think Don you mentioned the backlog. The $25 million backlog in 2020 is made up of the $15.6 million and then plus the $10 million TACNAV orders is the way you think about it?
Martin Kits van Heyningen: That’s exactly right, yes.
Ric Prentiss: Okay. And any thoughts on how their shipping timing will play out given COVID-19 for that backlog? Is it more rear end loaded in the year or evenly loaded?
Martin Kits van Heyningen: Yes. The TACNAV order is scheduled for Q4 and then the FOG business is more uniform throughout the second half of the year.
Ric Prentiss: Okay. And any bad debt issues? I mean, clearly, you guys have weathered it pretty well, but there are some issues out there, oil and gas and leisure. How is bad debt looking in the reserves?
Donald Reilly: Bad debt. So we are pleased to say we really haven’t seen a significant disruption in the cash collection process with any of our customers. I mean, a little – a few customers, smaller customers have asked for, as I said in the first quarter call, accommodations, which we have made, and they have basically abided by those revised terms. So no, we haven’t seen any real change in collection activity that would tell us our bad debt reserve need to change.
Ric Prentiss: Okay. And it certainly seems like in this environment, Martin, you touched on a little bit, that the KVH Watch product could become even more compelling. Is it really just tough to make sales and visits and pitches during this environment? But it seemed to me that the value of that product should start jumping off the page?
Martin Kits van Heyningen: Right. Yes. So I think that the interest in the product and the pipeline of prospective customers and partners is larger than we had anticipated. So the strong demand. But pace of getting actually people to do installations and demos and live visits is – was definitely impacted during Q2. So hopefully, that starts to change now. The new builds in China, people are visiting China again, whereas before, a lot of the customers simply refused to travel. So I think that’s starting to open up again. So our goal for Q3 is to get live installs and real customer – potential customer feedback. So there’s a lot of demand for this right now because of the pandemic and the whole value proposition of being able to access data remotely and see what’s going on in vessels and then to be able to do intervention, do face-to-face remote experts who walk people through repairs on board, even in the middle of the ocean.
Ric Prentiss: Yes, okay. And it seems, obviously, the service business hung in there very good, which it should be resilient in a needed service. What are your thoughts on that guidance? Obviously, from the year end call you gave guidance, you pulled it on 1Q as nobody made a depth and duration. You have had a really good 2Q navigating in 3Q, July, sounds like it’s shaping up well but there’s still a lot of uncertainty out there. What are the thoughts on a rough order of magnitude, even on third quarter, if not for the full year?
Martin Kits van Heyningen: Yes. I think that after we get through this quarter, I think we will be in a position to have more visibility and give guidance for Q4 and going forward. So I think it’s hard to believe that it’s only been a few months, but it does feel like there’s still a lot of things that we don’t know yet. So – but I do feel much more confident than we were 3 months ago and the way things are going, is significantly better than we feared. So – which is great news.
Ric Prentiss: Okay. And last one from a kind of a 30,000 foot view or a 2,000 kilometer view. A lot of news in the market about the new LEOs, SpaceX, Starlink, OneWeb coming out of bankruptcy looking like with the British government, Hyper getting some FCC approval yesterday, what are your thoughts as far as what the new LEOs mean into your business model?
Martin Kits van Heyningen: Well, I think that there’s definitely going to be a – someone’s going to be successful in that LEO market. We are not quite sure yet who will be. So we are looking at all of them. Some of them are targeting, like if you look at SpaceX, they don’t have inter-satellite links. So they are very much tied to land-based operations now. Eventually, the plan is to replace the 600 satellites they have already launched with satellites that do have that capability. But until that happens, it won’t work over the oceans. Because you need ground stations that are nearby. So they are all very different. The architectures, we have been studying them, looking at the different options. Some of them look really attractive for our business models. And other ones are more attractive for terrestrial use.
Ric Prentiss: Okay. And so jury is still out, a lot of work to do, but should bring more supply into the marketplace.
Martin Kits van Heyningen: Yes. No one told us that they have too much bandwidth and much lower service. So...
Ric Prentiss: Definitely. Well, again wish you you and your family <> stay well during this difficult time. So, I have just sea navigating well.
Martin Kits van Heyningen: Thanks, Ric. We will appreciate that though. Thank you.
Operator: We go to our next question from Rich Valera with Needham & Company.
Rich Valera: Thank you. Let me add my congratulations for navigating through the tough environment very well. So a question on the FOG – I am sorry, the $25 million backlog that’s supposed to ship in Inertial in the back half. Can you say how much of that is FOG versus TACNAV?
Martin Kits van Heyningen: Sure. I think Don’s got those numbers handy. So it’s probably $11 million for TACNAV off the top of my head, the rest being FOG but Don?
Donald Reilly: Yes. Just give me a second. Yes. So FOG is in the neighborhood of $11 million and TACNAV, let’s see. Yes, this is – I am sorry, FOG is in the neighborhood of $11 million. And TACNAV, when you include the GDLS – excuse me – the big military [indiscernible] that we announced would be in our neighborhood of $12 million.
Rich Valera: Got it. So that’s – I guess, it’s $23 million. Is there service in there or something?
Donald Reilly: [Indiscernible]
Martin Kits van Heyningen: That’s the total backlog for the whole company.
Rich Valera: Got it. Okay, fair enough. That’s helpful. Thank you for that.
Martin Kits van Heyningen: Normally, the VSAT business doesn’t have backlog, but it does have some. Because it’s normally a book and ship kind of business, but there is. It’s not zero, yes.
Rich Valera: Got it, okay. So, I just wanted to follow-up with some of Rick’s questions. It’s sort of the outlook. I mean, if you’re looking Q3 versus Q2, it sounds like at the margin most businesses should have a better environment. I think we understand sort of the dynamics around Inertial, which is really going to be around timing of shipments. But looking at sort of the commercial side, it seems like you have got at least as good, if not better, conditions for the whole of the September quarter than likely you had for the whole of the June quarter. So I am just trying to figure out, is there any reason we wouldn’t expect there to be maybe some quarter-over-quarter improvement in the commercial side of the business? Anything we should think about there that might keep that business from improving quarter-over-quarter?
Martin Kits van Heyningen: Right. Yes. I think that barring additional crazy things happening in 2020, we do expect things to continue to improve here in Q3, and then we have got good backlog for Q4. So we have better visibility for Q4 right now. So – but you are right. I think as we sit here today, we do expect improvement. How much improvement? We will see. It’s difficult to predict. But right now, it looks like Q3 should be better than Q2 and – but Q2 traditionally is not a very strong quarter. So that’s actually an improvement.
Rich Valera: Right, right. And then, Don, you mentioned the OpEx, you have been taking some fairly extraordinary measures, I think, to keep them under control. Should we expect those measures to abate somewhat in 3Q? Or should we expect flattish OpEx? How should we think about OpEx trending over the near term here?
Donald Reilly: I think OpEx in the third quarter will be a little higher than second quarter. Fourth quarter, maybe a little higher than that. I mean, I think we will start to see maybe a little more travel and – but the overall cost controls that we put in place in the second quarter will stay in place. I think the growth will be kind of a natural growth. But we will still continue to be really cautious about what we spend money on.
Rich Valera: Right. Understood. Then Martin just wanted to ask you about the P-1775, congrats on getting your first commercial shipment there with the PIC technology embedded. For a customer looking to buy IMU from you, what’s the difference they’re going to see in that product versus the product using your traditional technology from a price or a performance perspective?
Martin Kits van Heyningen: Well, initially, there is not a lot of difference on – in terms of the face value specs. So what we have done is we have announced products that have similar performance even though the performance internally is, in fact, better. So what we wanted to do is to get a quarter’s worth of production in before we tighten the specs. I didn’t want this to become a yield issue for manufacturing. But so far, we have seen the opposite. So the yields are very, very good. Performance is super consistent. So as we – the plan is that we are going to put this into some additional products. We are going to add some improved accelerometers. And then we will be announcing further spec improvements as the year progresses. So it’s going remarkably well. So we are very, very pleased.
Rich Valera: Got it. So then – as you get – as you are able to advertise the product with the better specs, I guess, one, it gives you some competitive differentiation. Does it give you pricing power? Or is that sort of not what you are looking for at this point more about market share versus maybe trying to get any pricing?
Martin Kits van Heyningen: Yes. I think that as it progresses, we will selectively introduce lower cost models as well. But what we did not want to do is to just take all the cost savings and lower the price and not get improved margins. So for the short term, we are going to see some margin improvement. And then as we launch additional new products, we will try and differentiate it further, so that the high end becomes even more high-end and with better excels, and then there is going to be room for new products at the mid and low end range, which we think will expand the market at lower price points. And then just one starting – go ahead.
Rich Valera: No, that’s – I want to let you finish.
Martin Kits van Heyningen: Yes. No, I was just going to say and that we are starting this quarter. And hopefully by the end of the year, we’ll have the migration finished. So also, as we’re doing this, we’re also mindful that we want to work down our inventory because we didn’t necessarily know exactly when we’d be in full rate production with the photonic chips since it was brand new. So we want to be able to work down inventory, not have to write-off any old product. So all that’s happening now as we transition. So we think that will be orderly process throughout the next two quarters.
Rich Valera: Got it. Makes sense. And just one final one for me, I think, for Don. Can you give the split between FOG and TACNAV for the quarter in Inertial?
Donald Reilly: Sure. So FOG sales for the quarter were above – little over $6 million and TACNAV was a little over $1 million.
Rich Valera: Got it. Thank you.
Donald Reilly: Alright.
Operator: We will go to our next question from Chris Quilty with Quilty Analytics.
Chris Quilty: Thanks. Don, wanted to just confirm, did you say that the mini-VSAT airtime margins were 37% in the quarter?
Donald Reilly: Just under.
Chris Quilty: Just under. That’s a nice 5-point bump from Q1.
Donald Reilly: Yes.
Chris Quilty: Is that – does that feel sustainable on a go-forward basis? And was there anything onetime nature in there?
Donald Reilly: There are always – there are always some onetime impacts, positive and negative. But I think that trend is – we may not get quite that high in the third quarter, but the trend is certainly heading in that direction.
Martin Kits van Heyningen: Well, I think that – yes. So we did have the bump from the – what we internally call our COVID promotion, where we got people to buy bigger plans because the crews were not able to change. So there is some risk that, that doesn’t sustain. So, some of that growth was due to these new promotions. And as we continue to add subscribers, we will be incrementally adding bandwidth throughout the network. So it won’t be continuous progression, but it’s a really nice trend. It’s not going to be that much every quarter and they may still bounce around a little bit. But the general overall trend is very encouraging.
Chris Quilty: And so you did mention airtime. Can you give us an update on where you see the market today? I mean, there has been some bankruptcies with Intelsat, which is a large partner of yours and incremental KU and KA capacity coming on the market. How do you feel about both the availability of capacity, the airline-centric models are not using as much in pricing trends and how that may impact margins on a go forward?
Martin Kits van Heyningen: Yes. I think we are fairly locked into our – at least for 2020 in terms of what we need and what we will be buying and what we are paying for. So we have a pretty good idea of where our margins are. But you are right, the long-term trend could be favorable. So that over time we could see lower costs. But typically, what happens is that it almost never results in improved margin because if the bandwidth costs go down, people buy more bandwidth, but at lower prices. And so the margins, I think our long-term strategic goal of around a 40% gross margin is probably the high end of where we will be. I don’t see, with the market dynamics, getting to much higher margins than that just because of competitors and the way things work so. But for us, 40% gross margins are ideal. I mean that’s just right in our sweet spot. So we think that’s going to be great.
Chris Quilty: I understand. And on the content business, a pretty steep fall off there, are you seeing with vessel activity picking up, the content starting to also pick up because that’s nice, high-margin business for you?
Martin Kits van Heyningen: Right. Yes. So the content business in our VSAT market has increased, increased in Q2 and continues to increase, the content business that declined by 50%, was our NEWSlink print newspapers for cruise ships and hotels. So that is a non airtime related content business, and that was down, as I said, $1.5 million. So, half of the total company’s revenue decline in Q2 was from that cruise ship newspaper business.
Chris Quilty: So that’s not coming back, at least near term.
Martin Kits van Heyningen: Yes. True enough.
Chris Quilty: Understood. So last quarter, you had talked about the fact that some of your competitors are shedding customers and you were dealing with an issue of third-party antennas. And it sounds like you solved that problem and brought on some customers. Can you talk about whether – was that done at some sort of a degradation in performance or has it technically worked out well and does that provide an easier go forward path for targeting competitive wins?
Martin Kits van Heyningen: Yes. I think it was – in this case, it was a little bit opportunistic on our part. They’re – transitioning the airtime was easier than visiting every single vessel and flipping them over to AgilePlans. This particular customer already had some AgilePlans, too. So I don’t think – it’s not a change in our business strategy. But from technical point of view, we are able to get it working. And from the airtime and data rate speeds, everything worked fine. What you lose is the sort of enhanced tools and visibility, monitoring and a lot of the value-added services that we think are really key differentiator. So it’s not going to be our business model going forward, but it’s a great tool to have when you need to flip a fleet quickly.
Chris Quilty: Understand. And final question, back to the PIC product. Are you still investing in miniaturizing the electronics? And how is that coming along? And any marginal updates, although it’s long-term on autonomous vehicle?
Martin Kits van Heyningen: Yes. So the plan is still to miniaturize the electronics, right now, where we’ve developed a new generation of electronics that we’re just completing. So – but this is – this new version is not yet miniaturized, but it’s a brand-new clean sheet design with the latest and greatest technology for FPGAs and DSPs and A-D. So it’s that’s the precursor to then going to a custom electronic chip. So we wanted to do the redesign first, get that into production. This is going into a new product starting in Q4. And then that will be the basis for the miniaturization and the custom chip. So as far as the automotive, not much has happened in Q2 on that front. There has not been a lot of development. So I think there was a lot of – so nothing new to report during Q2 as far as self-driving cars and autonomy. So we expect that – those companies to reemerge here during the current quarter.
Chris Quilty: I understand. And actually, I do have one more question. Back to the A-PNT. Is that program progressing on the schedule that you anticipated? Or it kind of feels like it’s go figure, it’s dragging out once again, and this...
Martin Kits van Heyningen: Yes, yes. No, you’re right. The – so there were some tests that they’ve tried to just be like a 3-week test in the desert and they scaled that back because of COVID, that is now scheduled for Q4, it’s only going to be 3 days and with – so that definitely has had an impact on schedule. On the other hand, some of the other domestic programs are seemingly unaffected so hopefully, we’ll have some good news there.
Chris Quilty: Understand. And that’s even in light of – I think we’ve had an executive order, and we’ve got the Senate getting involved with the Ligado situation and yet nobody’s lit a fire under the A-PNT program office?
Martin Kits van Heyningen: Yes. Feel free to allow the call in there for us, Chris. So it is happening. And you arer ight, they’ve had all these high level indications that this is a top priority, and we absolutely have to get it done. So it’s just a question of when.
Chris Quilty: Yes. It’s an army program.
Martin Kits van Heyningen: Yes. So in the meantime, we have got these other TACNAV programs. We’ve got other things in the fire. So – and the A-PNT program was not in our original guidance when we gave guidance for the year. So we haven’t seen anything fall out, let’s put it that way.
Chris Quilty: Okay very good and congrats on the quarter, guys. This was a nice surprise.
Martin Kits van Heyningen: Alright thanks Chris
Donald Reilly: Thanks Chris
Martin Kits van Heyningen: And no further questions operator?
Operator: There no further questions at this time.
Martin Kits van Heyningen: Okay, thank you. As always, feel free to contact either Don or myself directly, and thanks for listening.
Operator: This concludes today’s call. Thank you for your participation. You may now disconnect.